Operator: Good day, and welcome to the DHT Holdings Q2, 2015 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Eirik Ubøe, CFO. Please go ahead, sir.
Eirik Ubøe: Thank you. Before we get started with today’s call, I would like to make the following remarks. This conference call is also being broadcast on our website at dhtankers.com and a replay of this conference call will be available on the website. In addition, our Form 6-K, evidencing this news release, will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT’s prospects, the outlook for tanker market in general, expectations regarding daily charter hire rates and vessel utilization, forecast of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of newbuilding and scrapping and projected drydock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. I’m today joined by Svein Moxnes Harfjeld and Trygve Munthe, Co-CEOs of DHT Holdings. Svein?
Svein Moxnes Harfjeld: Thank you, Eirik, and good morning to all. The EBITDA for the quarter came in at $49.5 million and net income for the quarter was $22.2 million, equal to $0.24 per basic share. Our VLCCs operating in the spot market achieved time charter equivalent earnings of $52,300 per day in the second quarter. As of today, we have booked 56% of our spot VLCC days for the third quarter, a time charter equivalent earnings of $81,000 per day. We will pay a dividend of $0.15 per common share for the quarter payable on August 20 for shareholders of record as of August 12. The cash dividend represents 63% of net income. The cash dividend follows our new dividend and capital allocation policy announced on July 22nd. Including the dividend for the second quarter we will then have paid cash dividend for 22 consecutive quarters. Further, and in line with our new dividend and the capital allocation policy, we made debt prepayment of $20 million during the quarter. As of June 30, our cash balance was $137.1 million, of which $65.8 million is earmarked for the remaining pre-delivery installments for our newbuildings all during the fourth quarter of this year. As of quarter end, we had mortgage bank debt of $508 million and a convertible bond of $150 million. This represents 46% of total assets. As earlier reported, we have secured $290 million in bank debt for our newbuildings which will be drawn on delivery of the vessels. The remaining pre-delivery installments of $65.8 million will be funded by cash at hand. This means that on a pro forma fully delivered basis, interest bearing debt equals 57% of total assets. Our new capital allocation policy reflects our view of where we are in the cycle with an increasing amount of capital being returned to shareholders as quarterly cash dividends in combination with delivering an already strong balance sheet. And I'll pass on to Trygve.
Trygve Munthe: Thank you, Svein. Operationally we are pleased with the performance during the quarter. Our commercial team delivered handsome results for the quarter being in line with what we stated on the first quarter earnings call. Additionally, we have booked more than half of our third quarter spot base at what we consider very strong levels. However, once everything is said and done, we do expect spot VLCC earnings for the full third quarter to come in somewhat lower than 81,000 per day we have secured so far. Our technical management team continues to deliver high quality ship management services at competitive costs with a well [indiscernible] fleet. Regarding period chartering we have previously advised the extension of the time charter for one of our VLCCs for 1 year at $46,000 per day. With that, we currently have 6 of our 14 sailing VLCCs on period charters. For additional term business to make sense we would like to see extended periods being available at worthwhile numbers. We have a strong customer base with whom we have term business today. We will certainly continue to service them well and hopefully increase mutually rewarding business with them in due course. And when it comes to growth, we reiterate that for DHT to grow further any such growth must be clearly value enhancing to DHT shareholders. We do however have a fully funded growth program embedded in the company with 6 VLCC newbuildings scheduled to be delivered over the next 15 months. Once delivered, these newbuldings will increase our VLCC fleet by 43%. These will be very efficient ships with premium revenue generation ability and will contribute greatly to the company's earnings power and dividend capacity. The first ship we'll deliver in November and then every two months or so thereafter. Under the current spot rates scenario of about $65,000 per day we estimate that each of these ships will add some $5.1 million of EBITDA per quarter. Under the same rate assumptions, these six newbuildings should combined add about $0.24 of quarterly earnings per basic share. On a fully diluted basis it would be about $0.20. With that, we'd like to turn it over – open it up for Q&A.
Operator: Thank you. [Operator Instructions] We will take our first question today from Jon Chappell of Evercore ISI. Please go ahead, your line is now open.
Jon Chappell: Thank you. Good afternoon, guys. Trygve, you went over a couple of big strategy things from a 30,000 foot view. Just to dig a little deeper, when we think about uses of cash, obviously the dividend policy now is set in stone, which I think is very helpful, also you talk about deleveraging the balance sheet. Let’s start with post-delivery of the ships, Svein talked about 57%. Is there a target capital structure, debt to cap ratio you'd like to be at before you stop deleveraging and look at maybe other uses of cash?
Trygve Munthe: Yes. That’s a good question, Jon. And we would like to see the leverage to come south of 50%.
Jon Chappell: Okay. And then when we think about what you do at the fleet kind of in the meantime, you're right you already have the inherent growth. Clearly assets are quite accretive at the current levels. Could we see DHT do something more asset light like chartering vessels while you're still in the process of [de-levering] [ph] down to that target level?
Trygve Munthe: Well, we will not [charter in] [ph] vessels and because we have a focus on [indiscernible] operating with robust cash breakeven levels and chartering in be it time charter or bareboat is essentially some sort of 100% financing and will distort our efforts in that regard. So our focus all along has been to acquire ships, owning them 100% and apply moderate leverage.
Jon Chappell: Okay. That’s clear. And then finally, just the chartering strategy, you mentioned the new charter for the Samco 46,000. That’s obviously a very strong return on that ship. But you also mentioned the duration. So just wondering if some of these heritage Samco ships come off the charter, if you can get similar levels to that other – to this recent contract, is that something that you would consider - I mean, I've seen some broker reports that levels are even higher than that today or is it more important for you now to kind of extend the duration and look to 2 to 3 year charters?
Trygve Munthe: I think - and if we were to increase the number of ships that we have on charter we would like to see periods somewhat longer. But for the 6 ships that are currently on time charters, of course, we would be willing to look at shorter extensions with existing client, if that made any sense.
Jon Chappell: It does. Actually it’s very clear and somewhat new. So the 6 that are on today you would look for something - want 12 months or less at great returns, but if you were to kind of shift your total operating strategy more towards period with the other 8 vessels than you would want greater than 1 year duration?
Trygve Munthe: Correct.
Jon Chappell: Makes perfect sense. All right. That’s all I have. Thanks, Trygve. Thanks, Svein.
Trygve Munthe: Thank you.
Operator: Thank you. Our next question today comes from Spiro Dounis of UBS Securities. Please go ahead.
Spiro Dounis: Hey. Good morning, gentlemen. Nice job this quarter, it sounds like probably 3Q is off to a pretty good start as well. Just want to talk about maybe potential vessel sales, you've talked about in the past and so many vessel values have gone up over the last few months? Just wondering where your position is now and maybe more broadly speaking if you’d be more likely sellers rather than buyers in this market, arguably there is still some value to be found in some of these VLCCs?
Svein Moxnes Harfjeld: You've seen as of late especially in the older spectrum that asset values have been on the up. But we don’t think that these prices really reflect the cash generation potential of the ships. Hence the focus is for now to operate the ships and generate as much cash flow as possible, and again in support of our ambition to return a meaningful money's to our shareholders. But at some point, we will consider to potentially divest some on the older assets. But we think it’s too early.
Spiro Dounis: Got it. That makes sense. And then just as it relates to floating storage, tanker spread right now is still probably little too tight for VLCC storage. But just wondering if you heard rumbling, if they start up again, just in light of Iranian crude maybe pushing crude prices down and steepening that contango curve. And maybe in that context if you'd also offer your thoughts on how you are viewing the return of the Iranian VLCC fleet?
Trygve Munthe: I think [generally] [ph] increased to store oil. We’ve heard very little – have very few incoming calls requesting our ships for floating storage. As to what will happen with the Iranian fleet and how that will play out, it remains to be seen, there is nothing that will happen, be immediately happening. But from what we gather approximately one third of their fleet is engaged in storing oil and we also gathered – and most of that is condensate whereas the balance of the fleet is engaged in the delivering oil that they are selling predominantly to China.
Spiro Dounis: Got it. Appreciate the color. Thanks a lot guys.
Svein Moxnes Harfjeld: Thank you.
Operator: Thank you. Our next question today comes from Ben Nolan of Stifel. Please go ahead. Your line is open.
Ben Nolan: Thank you. Nice quarter, guys. My question has to do sort of going back to Jon's question about how you're thinking of the proceeds to the cash. And I think it’s good that you’ve delineated that the exact ratio for how the dividend goes and how much additional cash you’ll use to pay back that’s extremely helpful. But when thinking about the debt, how do you sort of decide what gets paid back and specifically would you consider maybe buying back any of the convertible instrument?
Trygve Munthe: On what we did in the second quarter it was pretty easy, this was a small loan that was coming to final maturity in March, so is the first one coming off and it was easy to pick that one and it was also one of the new loans with a higher margin over LIBOR. So I think you should expect this to apply a similar approach going forward. As far as convertible bond, as far as we know there has been a whole lot of trading in it and we haven’t had a good opportunity to assess potential buy back of that instrument.
Ben Nolan: Okay. That makes sense. So, it’s not a huge facility. So illiquidity is probably natural there. But along those same lines and maybe this is just sort of for my own, bookkeeping purposes. How do I come to the fully diluted EPS number? Obviously, a higher share count and then you probably adding back some interest. But how do you get to that $0.22, could you just maybe quickly walk me through the math?
Trygve Munthe: Yes. You take our regular net income you add back about $2.8 million, which is the interest expense for the convertible and then divide by the share count 111 million something.
Ben Nolan: Okay 2.8…
Trygve Munthe: [Indiscernible] you will see that in the income statement.
Svein Moxnes Harfjeld: So it’s a 2.8 and you add back which is the full – all the interest on the convertible, which is not just the cash but also other item.
Ben Nolan: Okay. That’s extremely helpful. But – and those two are my only questions. Thanks and again nice quarter guys.
Svein Moxnes Harfjeld: Thank you.
Trygve Munthe: Thank you.
Operator: Thank you. Our next caller today is Omar Nokta of Clarksons Platou. Please go ahead. Your line is open.
Omar Nokta: Hi, thank you. I just had a couple of questions. Just the first one was just going back to the guidance on 3Q, do you have a percentage of days that was booked at that 81,000 number?
Trygve Munthe: Yes. So 56%, so just over half of the third quarter has been booked at $81,000 per day.
Omar Nokta: Okay. Thank you. And then just also wanted to touch on the dividend, in your comments earlier about looking to get down to that below 50% leverage before thinking of boosting it. You’ve currently - by our numbers at least you look to be well within that ratio and within the next couple of quarters will be below that. Are you suggesting maybe that the – at that 60% that you are looking at pay out could be boosted before year end?
Trygve Munthe: I think it’s important – the percentages we referred to is tied to book value, so we haven’t really adjusted for the broker assessment. So we can only repeat that we like to see interest bearing debt compared to total book assets is what we like to see below 50%.
Omar Nokta: Okay. That’s good for me. Thank you.
Trygve Munthe: Thank you.
Svein Moxnes Harfjeld: Thanks.
Operator: Thank you. The next question comes from Mark Suarez of Euro Pacific Capital. Please go ahead.
Mark Suarez: Hi. Good morning, gentlemen. Thanks for taking my questions. I think my question regarding the dividend policy has all been answered, I just want to maybe touch on the macro environment for one second. As you look at the VLCC pricing environment and I believe you did a good job in describing your last quarter. How will describe the capacity out there in the far east, do you feel there is enough capacity out there to maybe continue to slow down some of the asset value growth that you would presumably expect given the pricing - the strong pricing environment out there, especially in the [modern times] [ph] of the 5 year old kind of a segment there, what is your sense?
Trygve Munthe: I think typically what happens when you have a strong freight market is that first it will be their older or asset in the older end of the spectrum that will appreciate in value and then once that take place people will then look at younger ships as they would initially look somewhat discounted. I think what you see now is that the 15 year olds are up close to double of value that they were a year and half ago or so. And we know that our discussions in the market for more modern types of assets and we would expect that if those transactions close, that those asset prices will be higher than what was last done so to speak. So, there is an interest now, a genuine interest from people to invest into the earnings environment. And this seems to also be more single asset type of transactions, not necessarily big M&A deals or corporate - public corporations making big splashes.
Mark Suarez: Got you. And on the new book conversions, have you seen significant decelerations, since the beginning of the year we are beginning to see some evidence here that that is actually in fact decelerating as capacity goes down. Is that kind of what you're seeing in terms of dry-bulk into tanker conversions?
Trygve Munthe: I think as we argued before that yes, they would be some of this, but it would not really amount to a significant factor for the tanker space. A lot of the dry-bulk ships that they want to get out, some are [indiscernible] big large tankers and some of them have come so far along that it’s too late to convert. So we quite frankly thought it was a bit hyped that whole argument a few months back.
Mark Suarez: Got it.
Svein Moxnes Harfjeld: There is really more talking in the current [ph] tanker space where you have smaller ships and yards that typically can build, say [indiscernible] that will also MRO and large tankers.
Mark Suarez: Got you. Okay. And I guess the last question here on the income statement, if you go and you take a look at your daily vessel or plant extension, the thing that can below was generally expected, what sort of run ratio we think about going forward here for the second half of the year?
Trygve Munthe: There will always be some fluctuations in the OpEx level. That we regard the second quarter as a very good quarter. So we are very pleased with those results and was certainly in the short run of the spectrum. So – but you need to look at this over time.
Svein Moxnes Harfjeld: And I think actually both first and second were coming in very good and so they are beating expectations, all ships have been operating perfectly and fine and there is nothing unforeseen.
Mark Suarez: Okay. Great. Thanks for the time as always.
Svein Moxnes Harfjeld: Thank you.
Operator: Thank you. Our next question today comes from Erik Stavseth of Arctic Securities. Please go ahead.
Erik Stavseth: Hi, guys. I want to touch upon sort of a macro perspectives here and we've seen the VLCC market being counter seasonally strong now for the good part of summer, are you still have the opinion or are you still – do you have a view on whether it would still have sort of seasonal up tick in Q4 and that should sort of be added to the strength we see now?
Trygve Munthe: I guess, the strong spot market you've seen really to date is the reflection of favorable environment for almost, where by its very little new supply coming to the market. There is been a nominal growth in oil demand and there is been substantial increase in the transportation required to transport these oils. So all in all that’s really just played out and had a – and not at all hopefully any hope that the bearers would have on any seasonality in the summer. For the remainder of the year, there is very few ships to be delivered and there seem to be for us many highly motivated oil producers. So that will – we'd expect to see a good flow of oil in the coming 6 to 12 months, we think there is very good chance for that and with the tanker market we are benefiting.
Erik Stavseth: Fair. So – make sense. In terms of I mean, you saw strong demand and when you see that the oil producers are motivated to increase the [indiscernible] high. What's your sort of biggest concern in terms of how demand - I mean, agree with the on supply and we see the supply is relatively marginal for the rest of the year. But on demand side, I mean, what's the biggest concern you would have on the demand side for the remaining part of this year and call it the first half of '16?
Trygve Munthe: I think it’s fair to say that China of course has become a very big part on oil component in the demand picture. So what will happen there is there something that we'll need to watch very closely. That being said, the company [ph] in China is shifting from infrastructure investment into becoming more of a consuming economy and thereby that should benefit the oil consumption. They are building a meaningful new number of refineries and also on top of that they are building their strategic petroleum to start. So all that combined bodes well for a continuous strong tanker market. But again, of course China is something to watch and very carefully.
Erik Stavseth: So you are not concerned about the global refining margins, which lead to softer demand globally. I mean, we've seen the EIA and IAA [ph] report that the first half of the year were probably a bit strongest in demand terms now that we'll have demand growth but still lower demand are you afraid that the weaker refining margins could see demand a bit?
Trygve Munthe: We're not so sure. It would be you know, speed bumps here and there, but we don’t think its going to be there, they were probably were in the midst.
Erik Stavseth: Okay. Thanks.
Operator: Thank you. Our next question today comes from Charles Rupinski of Seaport Global. Please go ahead.
Charles Rupinski: Hi, good afternoon. Thank you for your time. I just had a couple of questions. First, I apologize for this because I had some problems with the conference call. So I think I missed it. But could you just repeat if you had mentioned what you booked in the spot market so far this quarter?
Trygve Munthe: Yes. We have booked for the third quarter we have to date booked 56% of our spot lead fee base, as time charter equivalence in, so $81,000 per day.
Charles Rupinski: Thank you very much. That was very helpful. Appreciate it. And just a - the other question is more of macro question, I think you been ready give the color on the industry. But I mean, those are any changed over the quarter in terms of vessel speeds, where there is Tier [ph] vessel speeds overall in terms of laden and versus un-laden ton miles, is it stabilized or is it creeping up or do you have any comments on that please?
Trygve Munthe: I think year-to-date we've seen from the various reports that the average speed increase is about one lot and its circling up to 10 [ph] in the spot market. So this we can certainly think, it’s not really an issue, so…
Charles Rupinski: Okay. Great. Well, thank you for your time.
Operator: Thank you. Our next question comes from Jesper Hansen of Cerberus. Please go ahead.
Jesper Hansen: Thank you very much. Congratulations on a good quarter, gentlemen. We take note that you've changed the phasing of the CapEx, it used to be less than '15 and more in '16. It seems you have - you paid more around 30 versus 21 in '15? Is there any particular reason for that?
Trygve Munthe: I am not sure we understood your question Jesper. Could you repeat that for us please?
Jesper Hansen: You've changed the phasing of your CapEx, so you paid more in '15 than '16, and is there a reason for that?
Trygve Munthe: You know, marginal numbers, but some of this is related to basis that we had an opportunity to ensure that all our newbuilds will comply with Tier 2 and thereby laying the keys of the ships earlier to avoid the applying Tier 3 on the ships. So that will start adjusting milestones if you like on the ship yard.
Svein Moxnes Harfjeld: And the key lane is the milestone for the fourth and last pre-delivery installment.
Trygve Munthe: Yes.
Svein Moxnes Harfjeld: So that will set. Clear the labor all six ships before year end and they will all be Tier 2.
Jesper Hansen: So prudent move. Thank you very much. And the other question goes in the direction of time charter commitment, a couple of quarters back or last year you said that you would start looking at committing to longer term charters that are acceptable when they were at acceptable levels and obviously very difficult to commit to an actual dollar number. I guess for context, longer periods are available and if we compare rates to the time when you said acceptable levels that we would probably assume that that is acceptable today. It seems like the purpose changed and it seems like the environment is different. But would you venture out in putting any number on a three year deal if you were to do one?
Trygve Munthe: We wouldn’t – not provide any number on that. But I think the figure stated on the call, we have a very strong customer base, we have term [ph] business and I think one should assume that we are actively engage in business development with these customers. And these are typical also uses of term tolerance. So it’s circling out and we seem to see if we can expand that activity with this customer base and potential for new customers.
Jesper Hansen: Do you see or maybe just a follow up, so do you see an increase enquiry on the customer base for the longer term business now or haven’t just been sort of…
Trygve Munthe: Yes.
Jesper Hansen: Thank you very much. And congrats again, guys.
Trygve Munthe: Thank you.
Operator: Thank you. [Operator Instructions] We will now move to our final question in the queue at the moment, that’s from Alex Hersham of Cerberus. Please go ahead.
Alex Hersham: Hey, guys. Thanks for taking the time. [Indiscernible] Two questions of mine, would mind just elaborating little bit on your leverage policies, you talked about below 50% of book value. I just want to understand the 4% around book value versus are the current values or mid cycle values?
Trygve Munthe: Sure. As you all know we have had a keen focus on cash back even levels. Of course in the current rate environment it’s not the biggest concern for anyone. But we do think its important to have a one eye sort of down the road and make sure that DHT at all time has as a very competitive cash breakeven level. So that’s why we like to be south of 50% and 50% of acquisition cost and then with normal depreciation that going in. Rather than allowing for levering up as values increase because of course it will only eliminate the cash breakeven numbers.
Alex Hersham: So is another way just from me to think about it, is that not really about 50% of book value, but really more a function of just trying to get your cash flow breakevens to really low levels and just happens to work out and less than 50% of book value, are you actually actively thinking about it as a percentage of book value or you more thinking about as a cash flow breakeven?
Trygve Munthe: I think it’s more to latter, and as you also know that we've been focusing very much on the repayment profiles in the owned [ph] to various bank loans, which were also of course has a significant impact on the cash breakeven numbers. So we are attacking this from all possible angels, really.
Alex Hersham: Okay, cool. Thanks for that. Second question is would you mind just elaborating a little bit, I don’t know if I missed on the call, on the working capital outflow that you saw in the quarter?
Trygve Munthe: Working capital outflow, is – accounts receivable are up somewhat and…
Svein Moxnes Harfjeld: There is nothing natural in it, there is nothing sort of over due invoices or anything of that nature. So it’s nothing to be longed about.
Trygve Munthe: And we operate to these big ships in this book market for you know, when the change the counting periods for exactly which days and the [indiscernible] gets paid and when we pay for bunkers, that could coincide with the quarter change. So it will be somewhat lower quite bit, but it’s all business as usual we gather so.
Alex Hersham: Okay. But the 15 million or so of sort of working capital that an outflow year-to-date, should we expect that to sort of transition to being an inflow, and reverse the back of the year. I mean, I know when you have new ships coming on line there is working capital and easy going to those new ships, but this doesn’t seem, this sort of $15 million doesn’t really seem to be related to those new ships?
Trygve Munthe: No, but its of course with the pricing rate environment, you're receivables are going to up as well. So in higher market you will have a high receivables, but I think what you've seen in the first half is perhaps a bit of coincidence as well that we ended in the second quarter where the numbers we did for working capital.
Alex Hersham: Thanks a lot.
Trygve Munthe: Thank you.
Operator: Thank you. As there is no further question in the telephone queue, I would like to hand back to the speakers today for any additional or closing remarks. Thank you.
Svein Moxnes Harfjeld: Yes. Just want to say thank you very much all for attending the DHT call and staying in tune to what we had up. So thank you all and have a good day.
Operator: That would now conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.